Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Koil Energy's First Quarter 2025 Conference Call. During the presentation all participants’ will be in a listen-only mode. After the speakers’ remarks you will be invited to participate in a question-and-answer session. As a reminder, this call is being recorded today, Tuesday, May 20, 2025. A detailed disclaimer related to Koil Energy's forward-looking statements is included in the press release issued Monday morning and filed with the SEC. It is also available on the company's website, koilenergy.com or upon request. A reconciliation of non-GAAP financial measures used in the press release and on today's call is included in the press release and on the website. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date made. Koil Energy also undertakes no obligation to revise any of its forward-looking statements to reflect events or circumstances after the date made. At this time, I'd like to turn the call over to CEO, Erik Wiik. Please go ahead.
Erik Wiik: Good morning, ladies and gentlemen. Thank you for joining us today. I would like to start by introducing Kurt Keller, our new Chief Financial Officer. Kurt started in Koil Energy on April 22nd and is joining me here today. He has two decades of financial leadership experience from middle market companies where he has successfully scaled operations, growing revenues from $20 million to $100 million. We're excited to welcome Kurt to the Koil Energy team. His extensive experience will prove to be incredibly valuable. Before I hand over to Kurt, I'll provide an overview of our first quarter performance and update you on our ongoing strategic initiatives. Following my overview, Kurt will deliver a detailed analysis of our financial performance. Next, I'll provide an update to our growth roadmap and how we're making progress in the market. Finally, we'll be happy to answer any questions you may have. We had a disappointing start to this year. This quarter Koil Energy generated revenues of $5.3 million. The gross margin was 31%. The lower gross margin was driven by growth related expenses and underutilization of capacity. Adjusted EBITDA was 6% or $339,000. Compared to the first quarter of last year, revenue decreased 9% and adjusted EBITDA margin fell from 13% to 6% of revenue. Despite a significant increase in revenue from service contracts, our overall revenue decreased by 11% sequentially due to the lower percent of completion on our fixed price project caused by lower order intake in the prior quarter and during January and February. Our increased sales effort did deliver increased service volume but did not secure enough projects needed to effectively utilize the increased capacity. We increased our direct label force by eight employees last year. However, the reduced number of projects this quarter left our crews with limited opportunities to work efficiently. Balancing expansion cost with order intake is vital to our growth strategy. However, we fell short in mitigating this risk during the quarter. We always knew our growth journey would have its ups and downs and while this quarter presented a challenge, it reinforces our commitment to carefully building sustainable, long-term momentum and delivering consistent value to our shareholders. Our clients continue to give me excellent feedback on the work we perform. For instance, during Q1, we completed the installation of a fiber optic telecommunication cable in the Caribbean. This is an example of where our oil and gas expertise comes in handy when other industries need more powerful tools and unique expertise. Another example is the completion and testing of two umbilical systems, a milestone achievement with the highest visibility within the client's organization. The client representative commented that out of all the contractors performing work on that project, Koil Energy is the best team to work with. During the first quarter, we were awarded a significant contract to supply multi-quick connector plates for a project in the Gulf of America. This award encompasses equipment designed to control the high pressure systems of a subsea field operated by a US independent oil company. The MQC plates will play a critical role in the subsea infrastructure by distributing hydraulic control fluid in order to regulate oil and gas production and chemical injections to support flow assurance requirements. This award is particularly exciting for several reasons. Firstly, it represents a repeat order from a valued client showcasing their continued trust in our capabilities. Secondly, it features our advanced 20,000 psi technology highlighting our commitment to innovation. Lastly, as the MQC is a cornerstone product within the subsea control segment and this achievement paves the way for further growth. The project has started successfully and is being carried out at Koil Energy's facility in Houston, Texas. Final delivery is scheduled for the last quarter of this year. And with that overview, I will now turn the call over to our Chief Financial Officer, Kurt Keller.
Kurt Keller : Thank you, Erik. Before joining Koil Energy, I served as a financial executive at several private equity backed companies including PurgeRite, SunGrid and Mantis Innovation Group. Earlier in my career I served as CFO at Crescent Directional Drilling Services and Navasota Energy Services. I also spent time as Manager and Transaction Advisory Services at Deloitte. I'm excited to have joined Koil Energy. This is a company with a strong foundation and a compelling opportunity for growth. My initial experiences with the organization have been highly encouraging and I am pleased to embark on this promising journey with such a great team. My focus here will be to further enhance controls, solidify our financial strategy and drive performance in a disciplined, transparent way. I believe the financial discipline is crucial to our ability to meet our commitments to customers, shareholders and to employees. Let me now walk through our first quarter's results in more detail. For the three months ended March 31, 2025, Koil Energy generated revenues of $5.3 million, a 9% decrease compared to revenues of $5.8 million for the same period last year, while service contract revenue nearly doubled year-over-year, this growth was offset by a 40% decline in product oriented fixed price contracts which drove the overall reduction. Gross profit for the quarter totaled $1.7 million or 31% of revenues, representing a 19% decrease in gross margin compared to $2.0 million or 35% of revenues in the first quarter of 2024. The decline reflects the shift in revenue mix and volume, particularly in fixed price product work. Selling, general and administrative expenses equaled $1.7 million, up $267,000 from the prior year. The increase was largely due to the addition of key personnel and one time investments to restructure and strengthen our administrative functions. Moving to net income, we reported a loss of $30,000 for the first quarter which translates to breakeven earnings per diluted share. This compares to net income of $576,000 or $0.05 per diluted share recorded in the first quarter of 2024. This reduction in earnings reflected lower contribution margins from fixed price contracts which were insufficient to absorb our fixed cost base. Turning to our balance sheet, as of March 31, 2025, we reported $5.1 million in working capital, including $2.2 million in cash and $4.9 million in net receivables. This compares to $5.7 million in working capital at yearend 2024 with $3.4 million in cash and $3.1 million in net receivables. The shift is primarily due to the timing of billing and collections tied to fixed price. Before I hand the call back over to Erik, I want to briefly acknowledge that while this was not the quarter we had hoped for, the fundamentals that attracted me to Koil Energy, customer satisfaction, industry knowhow and a strong technical team are firmly intact. In the coming quarters, we will focus on sharpening our financial execution. This means driving higher utilization across our workforce, managing working capital with discipline, and ensuring that our growth investments are appropriately scaled and timed. Thank you for your time.
Erik Wiik: Thank you, Kurt. Before we address any questions. I'll provide an update on our strategic roadmap and how Koil is positioned for future growth. Our growth strategy continues to drive our sales effort and we have seen a significant increase in order intake during March and April. The funnel of prospects both services and projects have continued to be populated with high quality prospects. The bidding activities have also continued to increase since the beginning of the year. The outlook for the remainder of 2025 is therefore excellent. We're still focused on increasing our share of spending with existing domestic key accounts and have secured a record number of new service contracts. About two third of our service contracts include the installation of the equipment we built last year. Another key strategy is to continue supporting our clients abroad, which is also yielding positive results. Our international presence has also led to several high value bidding opportunities in countries where we have recently delivered services. We are progressing with our establishment in Brazil and continue to identify and qualify to bid on prospects in that region. Our goal is to close our first significant deal in that region by fourth quarter. Our alliance in Norway is coming at an opportune time as we see that region moving towards tieback and brownfield projects which is a sweet spot for Koil Energy. In summary, the global demand for subsea equipment and services is on the rise. This is due to a combination of one, continued discoveries of large reservoirs and subsea basins, two, subsea tieback opportunities to increase production of existing fields and three, addressing the aging subsea infrastructure. Koil Energy is uniquely positioned to assist our customers in addressing all three categories. Koil Energy continues to be a great investment opportunity. We offer mission critical deepwater solutionist with a high barrier to market entry. Before I conclude, I would like to welcome Mr. Mads Andersen as a new member of the Board of Directors of Koil Energy. Mr. Anderson is the CEO of the Norway based energy services company Aibel ASA with 5,000 employees and an annual revenue of US $1.5 billion. He has more than three decades of experience from the international oil and gas and energy services industry. Most recent roles include Divisional President in OneSubsea and Executive Vice President in Aker Solutions. We are delighted to have Mr. Anderson on our board. That concludes our prepared remarks today, so I will turn the call back to the operator to take investor questions. Operator?
Operator: [Operator Instructions] Our first question today comes from Sebastian Krog with Treasure Hunting.
Sebastian Krog: Hi, guys. Thanks for the update. Just a quick question. With the investments you now made into SG&A and with the current assets you have in Houston, do you have any idea what kind of revenue you could achieve with that at a higher utilization rate?
Erik Wiik: Absolutely. So the revenue we got this quarter is 9% lower than what we had a year earlier and about 10% lower than the average throughout the year last year. So we are just slightly below what we need to have in order to keep our cost base as it is. So most of the -- since we were at breakeven, any revenue above this should travel -- most of it should travel down to the bottom line. So we are at the inflection point with respect to just making sure we have continuous work every month in order to maximize the utilization.
Operator: And that concludes our question-and-answer session. I'd like to turn the conference back over to the company for any closing remarks.
Erik Wiik: Yes, thank you, operator. And if there are any more questions, please contact us today. I know the 10-Q filing is probably a fresh document that's going to be there in a few minutes, and you would like to review it before you ask questions. I understand that and apologize for the delay there. So you can contact us at ir@koilenergy.com or on the phone number 281-862-2201. And we will be available all afternoon and any other time you want to schedule a call to ask your questions. We appreciate your interest in Koil Energy and look forward to the next earnings call. This concludes our call. Thank you.
Operator: Thank you, sir. Once again, this concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines. And have a wonderful day.